Operator: Good day, ladies and gentlemen and welcome to the NOVAGOLD’s Second Quarter 2015 Conference Call and Webcast. My name is Ashley and I will be your operator for today. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. I would now like to turn the call over to your host, Ms. Melanie Hennessey, Vice President, Corporate Communications. Please proceed.
Melanie Hennessey: Thank you, Ashley. And good morning, everyone. We are pleased that you have joined us today for NOVAGOLD’s second quarter results and also to hear the latest update on the permitting of the Donlin Gold project and also an update on Galore Creek. On today’s call we have Greg Lang, NOVAGOLD’s President and CEO, and David Ottewell, NOVAGOLD’s Vice President and CFO. At the end of the formal part of this presentation we will take questions both by phone and by email. But before we get started, I would like to remind our listeners that any statements made today may contain forward-looking information, such as projections and goals, which are likely to involve risks detailed in our various EDGAR and SEDAR filings and in various forward-looking disclaimers included in this presentation. With that I have the great pleasure of introducing Greg Lang, our President and CEO. Greg?
Gregory A. Lang: Thank you, Melanie. Good morning. We appreciate you joining us on today's call. NOVAGOLD is a development-stage company with two great assets in North America, as highlighted on slide four. Our 50% owned flagship asset, Donlin Gold, is well into permitting and poised to become one of the largest producers in the gold industry. Galore Creek, which is held in 50% partnership with Teck will someday be the largest and lowest cost copper mine in Canada. As outlined on slide five, the Donlin Gold project has made steady progress on permitting. In the United States permitting is a serious undertaking that takes time. Although it may seem lengthy a permitting timeline of about five years is reasonable for an asset that will produce for over three decades in one of the world's safest jurisdictions. The reality of today's environment is that mining projects now take an average of 18 years to reach production after discovery. We have invested time and resources into this process, which will pay dividends as we near the home stretch in the permitting of Donlin Gold. Moving on to slide six; many pieces in the puzzle in permitting Donlin have come together in the last quarter. The corps of engineers were primarily focused on the preliminary draft to EIS which is a key driver in the permitting schedule. The Corp has addressed comments from the cooperating agencies, the State of Alaska and the native corporations and issued a preliminary draft to EIS for inter-agency review. The release of the preliminary draft EIS is a major step in the process leading to the publication of the draft EIS for public comment. Agency comments received-to-date have been constructive and focused primarily on clarifying certain aspects of the EIS, to efficiently communicate the potential benefits of the project. This input into the EIS is very important as it ensures the draft EIS meets the expectations and the needs of all agencies involved in permitting and reviewing the project. The Corp is working toward a publication of the draft EIS around year-end 2015. We also continue to work simultaneously with other agencies on major permit applications such as air quality, water discharge and use permits, rights of ways for the gas pipeline and the engineering and evaluation of tailings dams, and also the Clean Water Section 404 permit. At Galore Creek, technical studies continued during the second quarter, including a request for expression of interest on the proposed access tunnel into Galore Valley. We have no doubt that when copper markets turn, Galore Creek will be one of the more valuable assets with many key attributes that we find with Donlin Gold, it’s got good grade, it’s low cost and we have partnerships in place with Teck and the Tahltan Nation and it's in British Columbia, a safe mining district. Local outreach remains a key priority for NOVAGOLD as shown on slide seven. Through our investments in Donlin Gold and Galore Creek, we continue to be actively engaged in the communities where our assets are located. Year-to-date Donlin has completed many site villages visits throughout the Y-K Region and are focused on community outreach and workforce development. The annual Clean Up Green Up initiative had another successful year with 52 villages working together to remove waste that has accumulated over the winter. Additionally, Donlin Gold hosted the Second Annual Four Day Academic and Trades Decathlon in Aniak, where 145 students participated. Donlin Gold also accompanied representatives from the Calista Corporation, one of our key stakeholders on a site tour of the Goldstrike Mine in Nevada. Goldstrike is one of Barrick’s core operations with mining and processing equipment similar to that proposed for Donlin. The visit provided an opportunity for the Calista team to see the first hand the large scale gold operation and meet with local stakeholders, including representatives of the Western Shoshone Tribe to get a better understanding of the economic benefits, opportunities and challenges that mining offers local communities and businesses. Lastly in the second quarter NOVAGOLD released part two of the Alaska Video Series titled Subsistence Way of Life. This is a four part series that explores the importance of preserving the long cultural history and traditional lifestyles of those living in remote communities in the Y-K region, where Donlin Gold is located. I will now pass it over to Dave, to review the second quarter financial results.
David Ottewell: Thank you, Greg. Turning to slide eight, during the second quarter activities and spending at our projects continue as planned, as we support Donlin Gold permitting activities, and Galore Creek technical studies. We spent $3.9 million to fund our share of Donlin Gold and Galore Creek in the second quarter. For the full year, we expect to spend a total of $14.2 million on our projects. Slide nine highlights our operating performance. In the second quarter our loss from operations was in-line with expectations at $7.3 million. General and administrative expenses were lower in the second quarter due to favorable exchange translation expenses incurred in Canadian dollars and an adjustment to first quarter stock option expense. Other expense includes a $400,000 write down of investment in junior mining companies. Looking at our cash flow on slide 10, total cash and term deposits decreased by $22.3 million in the second quarter. The decrease resulted from $15.8 million used to repay the remaining convertible notes $2.5 billion (sic) [million] used for administration and interest payments and $3.9 million to fund our share of our Dolin Gold and Galore Creek projects. We ended the quarter with cash and term deposits totaling $135 million. We continue to expect to spend $45 million for the full year and should end the year with approximately $120 million in cash and term deposits. Greg, back to you.
Gregory A. Lang: Thank you, Dave. Donlin Gold represents tremendous value for a broad stakeholder base as illustrated on slide 11. Our largest shareholders view NOVAGOLD as one of the best ways to get exposure to the richest gold deposit in the industry, an unexpiring option on 39 million ounces of gold. Donlin has the key ingredients of scale and quality that are required to build a modern cost effective mine. As builders and operators with our partner, Barrick, our aim is not to give gold away at a low price. Donlin Gold has exceptional leverage in a higher price environment and we intend to extract the best value out of this unique asset for the benefit of our shareholders and stakeholders alike. Moving to slide 12, Donlin Gold has longevity with an anticipated production profile greater than a million ounces a year over a 27 year mine life, clearly at the top of the list, when compared to its peer group of development stage open pit gold deposits. Once in production the project will contribute great economic benefits to the region, the state and our stakeholders for decades to come. With a measured and indicated resource of 2.2 grams per ton it’s one of the highest grade, large open pit gold deposits, as shown on slide 13. This is a very important quality in the context of the challenges facing the precious metals industry, as reserve grades continue to decline and sources for emerging production to replace mined out capacity are becoming increasingly scarce. Beyond size, scale, longevity and great grade, Donlin Gold has tremendous exploration potential with multiple targets that are under explored. As shown on slide 14, the mineral endowment is found on a small percentage of the total land package. The future mine occupies less than a half of an eight-kilometer gold bearing system. As previously mentioned one of the key qualities most sought out is Donlin's leverage to gold as seen on the bar chart on slide 15. Even in a low price environment the project has positive returns. Donlin Gold's uniquely long mine life offers a high likelihood that it will enjoy multiple bull markets over its mine life. Donlin Gold is located in the U.S. and this is a key competitive advantage that cannot be overstated. On slide 16, we highlight that the U.S. has defined and rigorous permitting process where the rule of law is not a novelty. Once you get through the permitting you get to keep the fruits of your labor. Jurisdiction is an important issue today in the resources sector, one of the key questions investors will be asking of mining companies is where in the world your assets are located. Investing in the wrong region carries risks well beyond that in North America. Slide 17 shows Donlin Gold's project funding on a 100% basis since the formation of the LLC in late 2007, where Barrick and NOVAGOLD each own 50%. The industry has seen significant change which has been further strained by projects being shelved or outright cancelled or companies becoming insolvent. Reminiscent of the tortoise and the hare we and our partners have been advancing Donlin Gold steadily and without interruption. In less than two years’ time, market and gold price dependent, the owners will be in a position to make a decision on one of the gold industry's most vital assets in the next generation of mines. In summary NOVAGOLD continues to be focused on five key areas; advancing the Donlin project toward a construction decision; upholding strong relationships with all our stakeholders; advancing Galore and when the market and timing is right, monetizing the value of this asset but also maintain a strong balance sheet. NOVAGOLD is truly an institutional quality stock. Thank you for your time this morning. Operator, we are now ready to open the line for questions. 
Operator: [Operator Instructions]. Your first question comes from the line of John Bridges, JPMorgan. Please proceed. 
John Bridges: Hi, good morning everybody. Just wondered you're looking at optimization studies and looking at the potential follow-up costs, that sort of thing, have you made any progress with that?
Gregory A. Lang: Well, good morning John. Thank you for joining the call. Yeah, we continue to work with Barrick on different ways, frankly to reduce the upfront capital and we're making progress in a lot of the areas focused on third party participation or in aspects of the project such as the gas pipeline and farming out, simple things, from aviation to power generation. But while we're looking at that John we've still got two years left in permitting, so we're really not in a position to make any adjustments to the current project that we're working so hard to get over the line. 
John Bridges: Okay. But you see there are some opportunities?
Gregory A. Lang: Very much so, John. So we're looking at many concepts from starting with a smaller project to expanding over time to just about any means of optimizing and de-risking the investment decision that will be ahead of us in two years’ time. 
John Bridges: Okay. Good to hear it. And then I read here that you took some of your Calista partners down into Gold Strike to your old stomping ground. How was the feedback from that, what do they think of that great big hole you helped dig?
Gregory A. Lang: John, I think they were really pretty impressed by Gold Strike. They have a lot of programs in place to protect the environment concurrent reclamation. So it's really a very impressive operation. But I think the other thing that they took away from it was just the sheer scale of an open pit like Gold Strike. It's one thing to see it on a piece of paper it's another thing to walk the open pit and look over the edge or go through the autoclave plant. So it was really a very insightful visit for everyone. 
John Bridges: Okay. And you met with the Western Shoshone as well, how did that go?
Gregory A. Lang: Great, John. The Western Shoshone, the circumstances are different in Nevada than Alaska because in Alaska, the Native Corporations actually own the land and it was transferred to them by the Federal government, where in Nevada, the Western Shoshone are more of the traditional inhabitants of the land. But there’s still a lot of similarities in the benefits that large scale operations bring to remote areas, particularly I think they really got a better sense of the economic potential and spinoff benefits from a large scale investment like Donlin. 
John Bridges : Okay, Greg. 
Gregory A. Lang: It was really great of our partners to host the visit.
John Bridges: Yeah, must have been fun for you to go visit as well. Yeah, many thanks and congratulations and keep up the good work. Thanks. 
Gregory A. Lang: Thank you, John. 
Operator: Your next question comes from the line of Raj Ray, National Bank Financial. 
Raj Ray: Thank you. Greg good morning. Couple of questions on the permitting. Are there any additional studies to be completed before the draft EIS is published? And the second is do you see any potential for delays in the public issuing of the draft EIS?
Gregory A. Lang: Well I'll break that into two pieces, Raj. Yeah, the EIS is approaching 3,000 pages now. Yeah we're permitting a mine, two ports, a gas pipeline and a power plant. So it's really a massive undertaking. And there have been numerous in-depth studies along the way on every aspect of the impacts of the project, barging on the river, air quality and so on. So it's a very well scrutinized project which is what we want. We want the project to be fully understood by all of our stakeholders. And I think with an undertaking like this, yes it does take time. Yes, to your question on delays, sure, there is always the potential for delay. But at this stage we're, once the draft EIS is published, you then go into a pretty prescribed clock. The corps of engineers has set aside five months for public comment. Then there is a set period to review those comments and then incorporate those into the final EIS and ultimately the record of decision. And we've been pretty realistic about our timelines all along in working with the corps of engineers. So the big milestone will be the draft EIS later this year. And nothing on the horizon says that won't get completed. 
Raj Ray: Okay. So all the studies for the baseline data has been completed, you are saying? 
Gregory A. Lang: Oh, yes. We have a -- we've been collecting baseline environment data at the site for, it’s almost since we went out to the site over 20 years ago. 
Raj Ray: Okay, thank you. That's it from me.
Gregory A. Lang: Thanks, Raj. 
Operator: Your next question comes from the John Tumazos from John Tumazos Very Independent Research. Please proceed. 
John Tumazos : Thank you, Greg, for the call and presentation. Have your larger partners, Barrick or Teck, cut personnel or dollars on your projects with the declines in their revenues and cash flow this year?
Gregory A. Lang: So let me break that into two pieces John. On the Donlin project, as illustrated on the chart that we've put forward, the spending on Donlin has been relatively steady over the last few years. And that's about the rate we anticipate spending to wrap the permitting in two years’ time. So it's fluctuated a little bit depending on the activities but it has been relatively constant. On the Galore Project, we've got a great relationship with Teck. We were actively drilling this project a couple of years ago. And this is not a market that is really interested in drill results. So we made the collective decision not to continue adding to resources at Galore and to move it forward at a more measured pace. We don't want to spend a great deal of money on an asset that we ultimately plan on selling. So we're just working and moving it forward at a pretty measured pace. But to answer your question specifically the level of expenditures on Galore is down substantially from the few years ago when we were actively drilling.
John Tumazos : I got an email from one of my contacts, one of your partners yesterday that they moved on to another job. Have the JVs been able to maintain their personnel? Some of my friends in the mining business are moving to other businesses.
Gregory A. Lang: We are focused really on the Donlin Gold asset. The project -- the senior management team at Donlin has been very constant over the last few years. And yeah, there is a lot of churn at the head quarters of mining companies these days. But it hasn't flowed down to the project level in our cases.
John Tumazos : Super, thank you.
Gregory A. Lang: Thanks, John.
Operator: You've no more questions at this time. [Operator Instructions]. Your next question comes from the line of Eliot Glazer from WM Smith & Company. Please proceed.
Eliot Glazer: Yes, gentlemen. I've been following -- I'm an analyst and following your story for many, many years. As you know this is a difficult time for all gold mining companies. In fact there was an article in Mining.com dated July 6, latest futures that show hedge funds cutting bullish positions on gold, 55% to lower since October 2006, on gold worth less than $600 an ounce. Last week Gold Futures Investors [indiscernible] hedge funds slashed these positions to a point where bets or prices will rise only amounting to 21,480 lots of 2.15 million ounces, maybe for June 30, in other words the bearish level on gold is now the highest anyone can remember using contrary opinion this sounds like a pretty good time to buy gold. My question is, is it your sense as it is mine that there’s been a shift in the last four months of investor’s attitudes away from exploration companies and towards our conventional gold mining companies with earnings and dividends?
Gregory A. Lang: I’m not entirely sure I understand the question. I mean very clearly the last few months have been very difficult in the gold space, and we have seen a lot of projects cut back or canceled.
Eliot Glazer: Let me be specific. I think I got off on the wrong tangent here. What I'm trying to say is up till four months ago your stock and some other outstanding exploration plays were outperforming gold stocks in general. Now these last two months your stock and the few other exploration plays are underperforming gold stocks in general. So I'm asking you is if you perceive that there is temporarily less enthusiasm for exploration plays such as NOVAGOLD.
Gregory A. Lang: Well, I mean you raise the point that clearly the market has seen it that way and we're not - nobody likes to see their share price drop. But we're not really concerned by that. I mean the main decision for NOVAGOLD is two years out into the future, that's a lifetime in the gold industry, particularly as tumultuous as it’s been the last four months. We are a very clean simple story. We're going to permit a great asset in North America and if market conditions are right we'll build one of the finest of the next generation of gold mines. With what's been happening in the space we think our timing will be impeccable. The market will have come out of this slump. There is very few high quality gold development projects out there and all of that will pressure the supply side, which I think ultimately will increase gold prices and turn the focus back on the exploration developers.
Eliot Glazer: Okay, that's great. Thanks an awful lot.
Gregory A. Lang: Thank you Eliot for joining the call.
Operator: I would now like to turn the call over to Greg Lang, President and CEO for closing remarks.
Gregory A. Lang: Just want to thank everyone for participating in this morning’s call. Good day.